Operator: Greetings, and welcome to the Weyerhaeuser Third Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Andy Taylor, Vice President of Investor Relations. Thank you, Mr. Taylor, you may begin.
Andy Taylor: Thank you, Rob. Good morning, everyone. Thank you for joining us today to discuss Weyerhaeuser's Third Quarter 2025 Earnings. This call is being webcast at www.weyerhaeuser.com. Our earnings release and presentation materials can also be found on our website. Please review the warning statements in our earnings release and on the presentation slides concerning the risks associated with forward-looking statements as forward-looking statements will be made during this conference call. We will discuss non-GAAP financial measures, and a reconciliation of GAAP can be found in the earnings materials on our website. On the call this morning are Devin Stockfish, Chief Executive Officer; and Davie Wold, Chief Financial Officer. I will now turn the call over to Devin Stockfish.
Devin Stockfish: Thanks, Andy. Good morning, everyone, and thank you for joining us today. Yesterday, Weyerhaeuser reported third quarter GAAP earnings of $80 million, or $0.11 per diluted share, on net sales of $1.7 billion. Excluding special items, we earned $40 million, or $0.06 per diluted share. Adjusted EBITDA totaled $217 million for the quarter. Our third quarter performance reflects solid execution by our teams against a very challenging market backdrop. Notwithstanding recent headwinds, we remain well positioned to navigate the current environment given our deeply embedded OpEx culture and competitive cost structure. We've done considerable work over the last several years to align our strategy with the cyclicality of our businesses. As a result, Weyerhaeuser is a much stronger company today than at any point in recent history. And we continue to demonstrate the durability of our portfolio, the strength of our balance sheet and the flexibility of our capital allocation framework across market cycles. Looking forward, we remain constructive on the longer-term demand fundamentals that support growth for our businesses, and we're ready to capitalize on opportunities as market conditions improve. Before getting into the businesses, I'd like to provide an update on recent actions to further optimize, improve and grow our Timberlands portfolio. Our recent Timberlands transactions are summarized on Page 18 of our earnings slide. In the third quarter, we completed two high-quality acquisitions totaling $459 million. This includes our previously announced transaction for timberlands in North Carolina and Virginia and another acquisition of exceptional timberlands in Washington state. Additionally, in the third quarter, we advanced three divestiture packages of non-core timberlands, one of which closed earlier this month, and the other is under contract and scheduled to close later in the fourth quarter. These two transactions will result in $410 million of expected cash proceeds by year-end. We anticipate closing the third divestiture in early 2026, and expect total proceeds from all divestitures to exceed the cash outlay required for our recently completed acquisitions. These transactions represent strategic opportunities to improve the quality and value of our portfolio. As we've demonstrated over the last several years, we're committed to active portfolio management across our timber holdings and it remains disciplined and nimble in our approach to growing the value of our timberlands. Through this process, we've achieved the multiyear timberlands growth target we announced in September of 2021. Over a similar period, we've also returned a substantial amount of cash back to shareholders through dividends and share repurchase and announced a compelling engineered wood products growth opportunity, all while maintaining a strong balance sheet. Moving forward, we will continue to evaluate capital-efficient opportunities that enhance the return profile of our timberlands while also balancing other levers across our capital allocation framework to drive long-term value for our shareholders. Additionally, in the third quarter, we completed the sale of our Princeton mill in British Columbia for $85 million. In September, we received $61 million of the proceeds in conjunction with the closing of the sawmill portion of the deal. We expect to receive the remainder of the transaction proceeds over the coming months following the transfer of associated timber licenses in the province. It's worth noting that our other lumber operations in Canada are not affected by this transaction, and we continue to serve our customers from our 2 sawmills in Alberta. Turning now to our third quarter business results. I'll begin with Timberlands on Pages 6 through 9. Timberlands contributed $80 million to second quarter earnings. Adjusted EBITDA was $148 million, a $4 million decrease compared to the second quarter. In the West, adjusted EBITDA decreased by $9 million. Log pricing in the domestic market faced downward pressure in the third quarter as supply remained ample, and mills continue to carry elevated log inventories and navigate a very challenging lumber market. As a result, our average domestic sales realizations decreased moderately compared to the second quarter. Per unit log and haul costs increased in response to higher elevation harvest activity that's typical this time of year. And forestry and road costs were slightly lower than the prior quarter. Our fee harvest volumes were moderately higher and exceeded our initial plan for the quarter, largely driven by fewer operational restrictions given a relatively light wildfire season. Moving on to our export business to Japan. Log markets in Japan softened somewhat in the third quarter in response to ongoing consumption headwinds in the Japanese housing market. As a result, our customers' finished goods inventories increased and log prices decreased. Despite this dynamic, our customers remain well positioned relative to imported European lumber, which continues to face headwinds in the Japanese market. For the quarter, our average sales realizations for export logs to Japan were moderately lower and our sales volumes were moderately higher, largely due to the timing of vessels. Turning to the South. Adjusted EBITDA for Southern Timberlands was $74 million, a $5 million increase compared to the second quarter. Southern sawlog markets moderated slightly in the third quarter as log supply increased with drier weather conditions and as mills further adjusted to weaker lumber markets. In contrast, Southern fiber markets were relatively stable outside of a few localized regions impacted by recent mill closures. On balance, takeaway for our logs remained steady given our delivered programs across the region. That said, our average sales realizations decreased slightly in response to a higher mix of fiber logs from increased thinning activity. Given favorable weather conditions, our fee harvest volumes increased slightly compared to the prior quarter. Per unit log and haul costs were lower and forestry and road costs were comparable. In the North, adjusted EBITDA increased slightly due to the higher sales volumes, resulting from the seasonal increase in harvest activity that is typical in the third quarter. Turning now to Real Estate, Energy and Natural Resources on Pages 10 and 11. Real Estate and ENR contributed $69 million to third quarter earnings and $91 million to adjusted EBITDA. Third quarter EBITDA was $52 million lower than the prior quarter, but $28 million higher than our initial outlook for the segment, largely driven by the timing and mix of real estate sales. It's worth noting that real estate markets have remained healthy year-to-date, and we continue to benefit from strong demand and pricing for HBU properties, resulting in high-value transactions with significant premiums to timber value. Notably, our average price per acre has steadily increased in 2025 and reached its highest quarterly level since late 2022. I'll now turn to our Natural Climate Solutions business. First, on our carbon capture and sequestration project with Occidental Petroleum, which is expected to reach first injection in 2029. In the third quarter, Occidental announced the formation of a joint venture for the construction and operation of pipeline infrastructure between regional customers in the CO2 storage facility in Livingston Parish, Louisiana. This represents another important milestone associated with our CCS project and underscores the importance of selecting sophisticated counterparties with strong technical, commercial and project development expertise. Turning quickly to forest carbon. We have now received approval on our fourth project and currently have 5 additional projects under development. We continue to see solid demand for our credits given our commitment to developing projects that meet a high standard for quality and integrity. For 2025, we still expect a significant increase in credit generation in sales relative to the last couple of years. And overall, we remain on track to reach $100 million of adjusted EBITDA from our Natural Climate Solutions by year-end. I'll note here that we are excited to go into much more detail on our Natural Climate Solutions business, including multiyear growth targets at our upcoming Investor Day in December. Now moving to Wood Products on Pages 12 through 14. Excluding a special item associated with the sale of our Princeton mill, earnings for Wood Products was a $48 million loss in the third quarter. Adjusted EBITDA was $8 million, a $93 million decrease compared to the second quarter. These results reflect extremely challenging lumber and OSB prices in the quarter, which reached historically low levels on an inflation-adjusted basis. Starting with lumber. Third quarter adjusted EBITDA was a $48 million loss as several ongoing headwinds persisted across the North American market. The framing lumber composite began the third quarter on a slight upward trajectory, largely supported by improving Western SPF pricing and broader concerns around the pending increase in duties on Canadian lumber. As the quarter progressed, demand softened seasonally and buyer sentiment turned much more cautious. In addition, the supply-demand imbalance worsened in response to elevated shipments of Canadian lumber into the U.S. market, ahead of the increasing duties. Collectively, these dynamics drove composite pricing significantly lower through the balance of the quarter. It's worth noting that we have seen pricing stabilize and move slightly higher for certain species over the last several weeks. At this point, the industry has largely worked through the excess lumber volume that entered the U.S. prior to Canadian duties moving higher. Although we do expect the typical seasonal softening of demand as we enter the colder winter months, leaner inventories, combined with elevated duties and the new 232 tariffs should support product pricing and bridge the market until we start ramping up for next year's building season. For our lumber business, production volumes decreased by approximately 3%, compared to the second quarter. This reflects our election in September to slightly moderate production across our mill set in response to the softer demand environment as well as the volume impacts associated with the closing of our sale of our Princeton mill late in the quarter. As a result, our sales volumes were slightly lower compared to the second quarter, and unit manufacturing costs were higher. Our average sales realizations decreased by 11% in the third quarter and were generally in line with the framing lumber composite. Log costs were moderately lower. Now turning to OSB. Third quarter adjusted EBITDA was a $3 million loss, primarily driven by weaker product pricing in response to subdued residential construction activity. Following a steady decline for most of the year, the OSB composite stabilized in August and was generally range-bound for the balance of the quarter, albeit at a much lower level than the prior quarter average. For our OSB business, average sales realizations decreased by 18%, compared to the second quarter. Our sales volumes were comparable to the second quarter. Unit manufacturing costs and fiber costs were moderately lower. I'll note that pricing has remained stable through October. And similar to lumber, we do expect demand to improve early next year as we approach the spring building season. Engineered Wood Products adjusted EBITDA was $56 million, which was comparable to the second quarter. It's worth noting that third quarter results included a onetime $7 million benefit from insurance proceeds associated with the fire at our MDF facility in Montana earlier this year. As for the performance of our EWP business, we continue to align our production with customer demand and single-family homebuilding activity, both of which softened somewhat in the third quarter. As a result, our sales volumes decreased for most products compared to the second quarter and unit manufacturing costs increased. Notably, our average sales realizations for solid section and I-joists products were comparable to the prior quarter. And raw material costs decreased primarily for OSB web stock. In Distribution, adjusted EBITDA decreased by $4 million compared to the second quarter, largely due to a decrease in sales volumes. With that, I'll turn the call over to Davie to discuss some financial items and our fourth quarter outlook.
David Wold: Thanks, Devin, and good morning, everyone. I'll begin with key financial items, which are summarized on Page 16. In the third quarter, we generated $210 million of cash from operations and ended the quarter with approximately $400 million of cash and total debt of just under $5.5 billion. Our balance sheet, liquidity position and financial flexibility remains solid, notwithstanding the challenging market backdrop, and we are well positioned to navigate a range of market conditions. Share repurchase activity totaled $25 million in the third quarter, and as of quarter end, we had completed approximately $150 million of share repurchase activity for the year. Capital expenditures were $125 million in the third quarter, which includes $32 million related to the construction of our EWP facility in Monticello, Arkansas. As we previously communicated, the total investment for the facility is expected to be approximately $500 million to be incurred through 2027. For full year 2025, we anticipate approximately $130 million of investments for Monticello. And as a reminder, CapEx associated with this project will be excluded for purposes of calculating adjusted FAD as used in our cash return framework. Excluding CapEx for Monticello, we have lowered guidance for our typical CapEx program to a range of $380 million to $390 million in 2025. It's worth noting that we are always evaluating our capital allocation levers and have the flexibility within our framework to make adjustments in response to market conditions, alternate uses of cash and to fund growth opportunities. Given the timing of cash inflows and outflows associated with recently announced timberland transactions and typical liability management activities, we took advantage of the beneficial rate environment in third quarter to secure a 3-year $800 million term loan with an effective interest rate of 4.3%, and we used $500 million of the proceeds to prepay a portion of our 2026 maturities. Third quarter results for our unallocated items are summarized on Page 15. Adjusted EBITDA for this segment increased by $30 million compared to the second quarter primarily attributable to changes in intersegment profit elimination and LIFO. Looking forward, key outlook items for the fourth quarter are presented on Page 19 and updates to full year outlook items are presented on Page 20. In our Timberlands business, we expect fourth quarter earnings before special items and adjusted EBITDA to be approximately $30 million lower than third quarter of 2025, largely driven by lower sales volumes and realizations in the West. Turning to our Western Timberlands operations. Log demand in the domestic market remains soft at the outset of the fourth quarter as mills continue to work through elevated log inventories and navigate a challenging lumber market. That said, log supply typically moderates into the winter months, which should provide some support for log pricing as the quarter progresses. On balance, our domestic sales realizations are expected to be moderately lower compared to the third quarter. Our fee harvest volumes are expected to decrease largely due to fewer working days in the fourth quarter and the pull forward of volume over the summer with minimal wildfire-related operational restrictions. Our per unit log and haul costs are expected to be lower and forestry and road costs are expected to decrease seasonally. Moving to our log export program to Japan. As Devin mentioned, log inventories have expanded in the Japanese market in response to ongoing consumption headwinds. As a result, we expect softer demand for our logs in the fourth quarter and lower sales volumes compared to the prior quarter. That said, we anticipate our Japanese log sales realizations to be slightly higher, largely driven by freight-related benefits. It's worth noting that we expect demand for our logs to improve over time as inventories normalize in the Japanese market and as our customers continue to take market share from competing imports of European lumber. Turning to the South. Sawlog markets remain muted as mills continue to navigate lower pricing and takeaway of lumber and work through elevated log inventories. However, we anticipate a slight uptick in log demand as supply decreases seasonally into the winter months. In contrast, fiber markets are expected to remain relatively stable outside of a few localized regions impacted by recent mill closures. On balance, takeaway for our logs is expected to remain steady given our delivered programs across the region, and we anticipate our sales realizations to be comparable to the third quarter. Our fee harvest volumes and forestry and road costs are expected to decrease seasonally and per unit log and haul costs are expected to be higher. In the North, our fee harvest volumes are expected to be moderately lower due to seasonal wet weather conditions, and we anticipate slightly lower sales realizations due to mix. Moving to our Real Estate, Energy and Natural Resources segment. Real estate markets have remained healthy year-to-date, and we have capitalized on strong demand and significant premiums to timber value. As a result, we are increasing our guidance for full year 2025 adjusted EBITDA to approximately $390 million, an increase of $40 million from prior guidance. We now expect Basis as a percentage of real estate sales to be 25% to 30% for the year, and we remain on track to reach $100 million of EBITDA from our Natural Climate Solutions business by year-end. For the segment, we expect fourth quarter earnings before special items to be approximately $5 million lower and adjusted EBITDA to be approximately $15 million lower than the third quarter of 2025 due to the timing and mix of real estate sales. Turning to our Wood Products segment. Excluding the effect of changes in average sales realizations for lumber and OSB, we expect fourth quarter earnings before special items and adjusted EBITDA to be slightly lower than the third quarter of 2025. We anticipate a slightly softer demand environment for Wood Products in the fourth quarter as housing and R&R activity typically moderates into the winter months. Looking further out, we would expect demand to increase into next year's spring building season and more broadly as the macro environment improves. Composite pricing for lumber and OSB has been relatively stable through October. That said, pricing for both products remains at historically low levels on an inflation-adjusted basis and slightly below third quarter averages. For our lumber business, we slightly reduced our production at the end of the third quarter in response to the softer demand environment and have maintained a similar operating posture through October. Assuming we continue with this reduced posture for the remainder of the quarter, combined with the effect of the Princeton sale, our lumber production would be approximately 10% lower quarter-over-quarter. As a result, we anticipate lower sales volumes in the fourth quarter. Unit manufacturing costs are expected to be comparable to the prior quarter and log costs are expected to decrease moderately. Looking forward, we will continue to ensure our operating posture is aligned with driving optimal financial performance. For our OSB business, we expect sales volumes and fiber costs to be comparable to the third quarter. Unit manufacturing costs are expected to be higher due to planned annual maintenance outages that are typical in the fourth quarter. For our Engineered Wood products business, we continue to align our production with customer demand, which is most notably tied to single-family home building activity. As a result, we anticipate lower sales volumes for most products compared to the third quarter, with our average sales realizations and raw material costs expected to be comparable. For our Distribution business, we expect adjusted EBITDA to be comparable to the third quarter. With that, I'll now turn the call back to Devin and look forward to your questions.
Devin Stockfish: Thanks, Davie. Before wrapping up this morning, I'll make a few comments on the housing and repair and remodel markets. Starting with housing. Overall, housing activity has remained lackluster this year with total starts hovering around 1.3 million units on a seasonally adjusted basis and single-family starts below 1 million units. Based on conversations with our homebuilder customers, the biggest issues continue to be ongoing affordability challenges and weaker consumer confidence. While mortgage rates have declined to the low 6% range, many potential homebuyers remain on the sidelines given elevated uncertainty about the economy, inflation and employment. The ongoing government shutdown is likely also not -- also having an impact on overall sentiment. All said, consumers have been less inclined to jump into the housing market in 2025, given all the noise in the broader macro environment. Moving forward, it seems we could see some of the tariff-related concerns easing over time. We might also get additional support from the Fed on interest rates in the coming months. And hopefully, the government shutdown will end soon. Perhaps clarity in these areas could alleviate some of the uncertainty that's been weighing on consumers in the housing market. And while I suspect we'll see the typical seasonal pattern of slowing construction activity over the winter months, we do expect to improve as we approach next year's spring building season. Over the longer term, our outlook on housing fundamentals remains favorable, supported by strong demographic tailwinds and a vastly underbuilt housing stock. In addition, there seems to be a growing appreciation that government policies need to better accommodate building activity to address housing shortages across the country. All of this will ultimately support healthy demand for housing over time. Turning to the repair and remodel market. Activity has been softer this year compared to 2024, largely driven by many of the same factors impacting the residential construction market, namely lower consumer confidence, higher interest rates and concerns around the trajectory of the economy. We've also seen less R&R activity in response to lower turnover of existing homes given higher mortgage rates and the lock-in effect. Looking forward, while we do expect seasonal moderation in R&R activity around the holidays, we're optimistic that demand will recover as interest rates move lower and consumer confidence improves. In addition, we think the dynamic around deferral of large discretionary projects over the last few years will ultimately serve as a tailwind as the macro environment improves. And longer term, many of the key drivers supporting repair and remodel activity remain intact, including favorable home equity levels and an aging housing stock. In closing, I'm extremely proud of the focus and resilience demonstrated by our teams in the third quarter. Despite the challenging market backdrop, we continue to execute against our strategy and demonstrate the durability of our portfolio and capital allocation framework across market cycles. Our financial position is strong, and we continue to capitalize on strategic opportunities to enhance the value of our portfolio. And looking forward, we maintain a favorable outlook on the longer-term demand fundamentals that support growth in housing, repair and remodel and climate solutions. And we remain focused on driving operational excellence, serving our customers and creating long-term value for our shareholders. And finally, we look forward to connecting with many of you at our upcoming Investor Day on December 11. Davie and I will be joined by other members of our senior management team to present a detailed overview of our strategic growth plan, enterprise capabilities and financial targets through 2030. For those of you who plan to attend the event virtually, please visit our website to register in advance for the live webcast. And with that, I think we can open it up for questions.
Operator: [Operator Instructions] My first question comes from Susan Maklari with Goldman Sachs.
Susan Maklari: My first question is on -- I want to talk a bit about how you're thinking of lumber and OSB capacity. Appreciating the comments around the fact that your lumber production will be 10% sequentially lower in the fourth quarter and expectations that housing activity could pick up as we get into the spring. But I guess as we think about what the builders are telling us, especially the big publics that they're going to slow starts late this year. And that sounds like it could hold into early 2026 as well. How are you thinking about the potential for further capacity to come out of your business. What are you watching for, for signs to determine if that's necessary? And how are you thinking about balancing the near term and the initiatives that you've put through with OpEx, which are obviously coming together and allowing perhaps for some share gains relative to the longer-term demand outlook?
Devin Stockfish: Yes. I mean great question, Sue. The reality is this has been a really challenging year from a lumber standpoint and of late from an OSB standpoint. And that's largely been driven by just the dynamic that we've seen in the housing market primarily, but to a certain degree, by repair and remodel as well. And I think there are a lot of reasons to expect that over the medium to longer term, we need a lot of housing in the U.S. And so we're still very bullish on housing in the U.S. But as you say, in the near term, both from the standpoint of just the general consumer confidence environment, affordability. And then obviously, we're going into that time of year where we typically see some slowdown in residential construction. I don't think we have an expectation that we're going to see the demand environment for those products pick up dramatically here as we close out the year. So as we think about our operating posture, we look at a number of different factors, as you would expect. We think about consumer commitments. We think about balancing our fee volumes to maximize profitability across our integrated portfolio. We think about trying to maximize our earnings at both the mill and the regional level. Because of the nature of our portfolio, there are some dynamics that play with us maybe that wouldn't necessarily be the case for less integrated companies. We think about it from a short-term and long-term perspective. And really, we also look at it from a competitive dynamic in our space and really how we want to position ourselves with our customers. And that includes our position on the cost curve, all the levers that we can pull with our integrated scale business, the cost structure, the OpEx, the environment. So there are a lot of things that go into that. For us, I do think that look, from an operating margin perspective, I think we've demonstrated we're best-in-class. I think we're well positioned on the cost curve. And so we're going to continue to watch that as we progress through the quarter. I will say stepping back from our operating posture specifically when we look at the industry as a whole, it's been a tough environment, and we've seen some level of capacity announcements here recently. I think there's some quiet downtime going on in the market as well, but producers are not going to continue to operate below cash breakeven indefinitely. Something is going to have to change, and absent some dynamic with the demand environment that's going to have to come on the supply side. And that's just kind of the reality of where we are, at least until we start getting ramped up for the building season.
Susan Maklari: Yes. Okay. I appreciate all those comments. And then maybe turning to the timberland side of the business. It's nice to see the acquisitions and some of those sales that you announced this quarter that will be coming through. I guess as you think about your timberlands portfolio and having reached the goals that you have set for yourself at the last Investor Day. How are you thinking about the positioning today? What should we expect going forward? And can you talk a bit about how you're thinking of the general footprint there?
David Wold: Yes, look Sue, I mean we're really pleased with the Timberland portfolio activity that we've been able to complete over the course of this year and advance into early next year. Look, that's something that is a core part of who we are and what we do. We're always going to be active in this space. We're very pleased to have completed the target that we set out a few years ago. As a reminder, I'd say that was really our view of what we thought was a realistic level of programmatic M&A that we could affect in a disciplined fashion over a multiyear period. And so as we said at the time, we expect to be active, looking for opportunities to optimize our timberlands portfolio in a disciplined fashion, and that will continue to be true going forward where we can find acquisitions that we think create value. So I think we've demonstrated that we can create value anytime we transact, whether on the buy or sell side. So we'll continue to look for opportunities to optimize our portfolio moving forward.
Operator: Our next question comes from George Staphos with Bank of America.
George Staphos: I appreciate the commentary. So I wanted to dig in a little bit more into the portfolio transaction that you made in Timberlands. Devin, what do you think the net cash generation has been benefited by the acquisitions relative to the divestitures. What do you think the sort of cash flow, if you had to look at it per acre has benefited just across what you sold relative to what you gained?
David Wold: Yes, George, this is Davie. I'll take that one. And I'll dimension that in a couple of ways. Obviously, we've got the transactions that we're executing on here in the current environment. I think if you look back to 2020 over the series of acquisitions and divestitures that we've completed, that's somewhere in the neighborhood of $50 million of an increase to our annual EBITDA that we've been able to generate through the buy and sell activity. So it's a phenomenal way for us to continue to look to increase the cash flow generating capabilities and optimize the portfolio. The transactions that we've -- that we're working on this year, on the buy side, we've said that, that's on a 21x EBITDA multiple compared to the 45x multiple. From a divestitures perspective, we've disclosed the cash yields. So I think you can go do the math on what you think that looks like. Again, I think it's really important to note that we have the ability to create value anytime we're transacting on our portfolio, whether on the buy side, whether on the sell side, and I think our integrated portfolio, the scale and diversity, that gives us a way to unlock value on these types of transactions that others may not be able to do with the tools and teams that we've invested in over time. I think it uniquely positions us to execute in a disciplined fashion in this space.
George Staphos: I guess my other question would be aimed at lumber, in particular. So again, recognizing that you are low on the cost curve and you have the higher margins in the sector from what we can see. Nonetheless, black at the bottom was born from kind of an absolute need way back when coming out of the crisis to improve the cash flow kind of irrespective of what everybody else was doing, where you're at and recognizing there's been a lot of progress. When we look at EBITDA losses this quarter versus, I guess, last year's third quarter, pricing was about the same, but the EBITDA loss was a bit further. What -- and maybe we'll talk more about this at the Analyst Day, but what are you doing to lower cost and try to get to a breakeven at these very, very labored, if you will, price levels for lumber?
Devin Stockfish: Yes. I mean, I'll make a few high-level comments on that, George. I mean we've been focused on cost and OpEx for going on a decade at this point. And I think you can see that in our relative position against most of the industry. The reality is we are operating in an environment that is extremely challenged at present. The pricing dynamic that we are seeing currently is really one of the toughest pricing environments we've seen in a very long time. Now I think when you think about black at the bottom, I do think kind of pre-pandemic and the high single-digit inflationary environment that we saw for a few years, we were there. The reality is when you see inflation go up like that, it's going to take us a little bit longer to kind of work all the way back down there. There's just -- there's a scenario in any environment where prices go so low that it's going to be very difficult. I think that's where we are right now. And you can kind of see that hitting the entire industry. Again, we're well positioned on the cost curve. I think we're navigating the environment better than most. But the driver for negative earnings was just the weak price environment. And we did elect to reduce our operating posture a little bit in September, and we're carrying that through to October. But we're going to keep focused on efficiencies. We're going to keep focusing on reliability and cost and all the things that we do to make sure that we have world-class manufacturing operations, and to the extent that we do see a little bit of improvement in pricing, we'll be back in the positive from an EBITDA standpoint on lumber.
George Staphos: Devin, if I could just -- if prices held at these levels, and we recognize why they can't because of where prices are for everybody in the fourth quartile and so on. But let's assume just for instance, that prices held at these levels, would you be able to, within the course of a year or 2 years through whatever actions and things that you know you have on your whiteboard to actually get to a breakeven level on a cash basis.
Devin Stockfish: Yes. I mean we've got a path there. Every mill has a road map to get to first quartile cost structure. We're frankly largely there at most of our mills. So we have lots of things on the drawing board, and we're going to talk about some of that at our Investor Day and the continuing OpEx work that we're doing, and we're supplementing that with some of the things that we're doing from an innovation standpoint. So we're never done. But again, tough environment right now. It's not going to stay this way forever. It's unsustainable, and we'll be well positioned to take advantage of the market as things start to improve.
Operator: Next question comes from Anthony Pettinari with Citi.
Anthony Pettinari: When we look at leverage, net debt-to-EBITDA at 4.3x, I know that's backwards looking on what should be kind of trough Wood Products earnings. But I'm just -- if we do have a more muted year in '26, like it seems like we have had in '25, can you just talk about kind of guardrails on leverage, the levers that you can pull potentially to delever capital allocation priorities, maybe in -- if we kind of imagine maybe a bit of a tougher scenario in '26? Or just generally, kind of how you think about that given what's kind of optically at least elevated leverage?
David Wold: Yes. Look, Anthony, I mean I think Devin laid it out well in his prepared remarks. We've done considerable work over the last several years to align our strategy with the cyclicality of our businesses. So with the strength of our company today, we have a tremendous number of levers. I think you hit on it right. I mean, really, the -- from an LTM net debt-to-EBITDA perspective, what you're seeing there is that with the EBITDA coming down, you're seeing that number tick up. But importantly, that's a number that's designed to be a mid-cycle evaluation, and we expect to be well under that target as EBITDA levels normalize over time. I mean I think from the starting point, we remain committed to maintaining that investment-grade credit rating, and that's going to be a guiding principle as we think about all the ways that we navigate these challenging markets. But again, I think our view is that eventually, we're going to see these markets improve, and we'll see that number normalize over time.
Anthony Pettinari: Okay. That's helpful. And then your two public timber REIT peers are combining into one company. And I'm not asking you to comment on competitors, but I'm just wondering if you can share any thoughts on the consolidation we've seen in the timber space over the years. Maybe you can remind us how much you actually face off against Potlatch and Rayonier in your local markets? And if public timber REITs are moving, I guess, to Coke and Pepsi, like how should investors think about Weyerhaeuser's relative value proposition?
Devin Stockfish: Yes. I mean, like you said, we're not probably going to comment too much on that acquisition. I will just say from a high level, we obviously agree that there is a significant benefit to scale and to having an integrated business. We've been operating that way for a very long time. We think that there are a lot of opportunities to create value in having a scaled integrated model. We compete against each of them in local markets as we compete against other landowners, both small private landowners, TMOs, et cetera. We'll compete against them in more or less the same way once they combine. I do think, from our standpoint, it's important to keep in mind, right? So we have 10.4 million acres. We're one of the largest wood products manufacturers in North America. I don't think this fundamentally changes in terms of the competitive operating environment in any region in any sort of meaningful way. But again, I do think scale and integrated business makes sense. So there's some logic in the deal.
Operator: Our next question comes from Mark Weintraub with Seaport Research Partners.
Mark Weintraub: First, a small one, maybe leads into a bigger one. So on the HBU, you had pointed out that prices have been rising over the course of this year. Is that a function of just the mix of what you're selling? Or is it that you're seeing higher pricing for like properties than you were before?
Devin Stockfish: Yes. I mean I think it's a little bit of both. There's always a component of mix, right? Because every quarter, there's going to be a slightly different mix of the properties that you're selling. So there's a part of it that's that, and there's some geography dynamics at play there as well. But I would say on balance, what we are seeing is -- on a like-for-like basis, we're continuing to see the prices that people are paying for this go up. And I think so it's a combination of both of those things, Mark.
Mark Weintraub: Okay. Great. And then also, I hear you on the buying and the selling of timberlands and how optimizing the portfolio is very, very beneficial, makes total sense. At the same time, it's very interesting that the per acre at least to me, the per acre values that we're seeing as well as the multiples of cash flow that you were relaying, are as high as they are, if anything, it does seem like timberland values, like HBU, in the private market transaction seems to be trending higher, too. And obviously, your stock hasn't fared as well, lots of other variables at play. But does that color your appetite to be more aggressive on the sell side than on the buy side? And also, as you've gone out, particularly and sold some acreage, is your sense that there's a fair bit of money still looking to be deployed in the timberland space. Kind of color on that would be great.
David Wold: Yes, Mark, let me comment just broadly on the overall timberlands market. I mean we continue to see very strong interest in the asset class. We've talked about the amount of capital that's been raised to pursue these assets. There's a lot of that that's still sitting out there, several billion dollars that's not yet been placed. Really, if we go back to the genesis of our 2021 target in timberlands, that was really coming from the standpoint of there's going to be an increasing scarcity in the availability of high-quality timberlands. And that's really played into all of the decisions that we have made over the last several years. And so I think that's guided our strategy, and I think it's an important element as we move from here.
Devin Stockfish: I would just make one other kind of comment generally on that, Mark, and that is when you think about both the values that we're paying to bring the timberlands into our portfolio and the value of the timberlands that we're selling. Embedded in that is really, a, our team on the A&D side spends a lot of time out looking for high-quality deals. And I think you can see that really in all of the transactions that we've brought in. We're looking for very high-quality timberlands with good cash flow generation that can also create value through our integration, NCS alternative values. And so to some degree, the value that we're paying is reflective of the team's work and what we're looking for. But also even on the sell side, I think -- and maybe this was part of your question, we have a very high-quality timberlands portfolio existing. And so even when you think about some of the deals that we're selling, which are noncore to us, it is reflective of what is a very high-quality timberlands portfolio that we've assembled over, frankly, 100 years. And so I think both of those things play into the value that you're seeing on the buy side and sell side when we do deals.
Mark Weintraub: That's helpful. And speak to maybe just one quick follow-on. Given that is the case, it would seem that, that discrepancy between how the public markets are valuing your stock, recognizing it's tough times in Wood products, and that's certainly playing a role. But are there other things that you're contemplating to help bridge at least what is a temporary seeming very, very wide gap between NAV and where the stock trades?
David Wold: Yes. Look, Mark, that's always on our mind. I mean we're always out here trying to think about how we can create shareholder value. And part of that means looking at that very item. I think we're going to have a lot of items that we'll walk through at our Investor Day in December on that topic. I think we've been focused for a while now on how we can ultimately grow the value of the company and drive cash flow improvement through the cycle. So I think we'll have more to say about that in December.
Operator: Our next question comes from Kurt Yinger with D.A. Davidson.
Kurt Yinger: I think Mark had a lot of good questions there. But maybe just dovetailing and trying to kind of wrap it up. Like Davie, you talked about remaining kind of active from a portfolio management perspective. Does that mean that we should expect that you guys will remain acquisitive going forward? Or just help me understand kind of that balance between being a buyer versus maybe a net seller looking ahead?
David Wold: Yes. Look, again, we're going to consider all the options to create shareholder value. We think we can create value on both the buy side and the sell side. I mean I will note one of the realities here in the current environment as we look at all of the capital allocation alternatives that are available to us, when the inputs on some of the other alternatives are more attractive, that does raise the bar on what it's going to take from a timberland acquisition perspective. But I think it's indicative of the quality of the acquisitions that we're completing this year that they cleared that bar. And that's something we're always going to be looking at as we make those decisions.
Kurt Yinger: Okay. Switching gears to the Wood Products side. A little bit surprising to see the EWP realizations up a bit in Q3. It sounds like you're expecting pricing to be stable in Q4. Is there anything temporarily benefiting that? I mean it seems to kind of diverge at least from what we've heard around the market? And how are you thinking about kind of overall competitive dynamics and what you're seeing out there?
Devin Stockfish: Yes. I mean, well, look, the EWP market has been under some pressure this year, just as residential construction activity has been soft for a bit. As you know, EWP demand is largely driven by residential construction. And with the housing market being stuck in second gear, no doubt that's been a bit of a headwind. And we've seen pricing come down somewhat over the course of 2025. But that being said, I do think that we've managed the environment fairly well. We've mitigated some of the downward pressure, and that's largely a function of the power of our Trus Joist brand, the quality of our products and really I think, to a large degree, the service model that we provide to our customers. And so while there has been some pressure on pricing, we're doing everything that we can to bring value to our customers in what is a tough environment. And I'd also say in this environment, which has been challenging, we're also out there working to take market share, take market share from competitors, take market share from Open Web. So we're out there really pushing. And I think it's a testament to the team that we've been able to keep our market share, grow our market share, keep the pricing relatively stable in what is a very challenging environment. And we'll adjust our operating posture as needed through Q4, as we said. But ultimately, we feel like we have a really good brand, a really good business here in EWP, and we're going to continue to look to find ways to take advantage, whether we're in good markets or bad markets.
Operator: Our next question comes from Ketan Mamtora with BMO Capital Markets.
Ketan Mamtora: Maybe to start with, on the timberland side, particularly in the U.S. South, we've seen a lot of pressure on pulpwood prices here in the last 4 to 6 quarters, I mean these are kind of multi-decade lows right now. Some of it is -- sure has cyclical weakness, but we've also seen a lot of pulp and paper mill shutdowns, which it seems like kind of will be hard to reverse here. So can you sort of talk to kind of what you guys are seeing out there on the pulpwood side? And how you at least in your sort of wood baskets, what can you do to help mitigate some of that. I guess the Engineered Wood plant that you're building will help, but anything outside of that?
Devin Stockfish: Sure. Well, the reality is, as you say, I mean it's unfortunately been the case that we have seen a lot of pulp and paper capacity coming out of the system. And that's something -- it's not new. This has been going on for a while. But even this year, we've seen several fairly large pulp and paper mills shutting down. Now I will say one of the benefits to the diversification that we have geographically as well as just the integrated model that we have, the scale that we have, we do have levers that we can pull when you see those market dynamics. And even with the mills that have shut down recently, we're typically able to just move volume to different customers. So it probably impacts us maybe to a lesser degree than some others. We also have some levers, for example, one of the IP mills that shut down, we were able to move some of that volume to our OSB mill. And so we have some levers. As you say, the Engineered Wood Products, Timberstrand facility that we're building in Arkansas will be using a fair bit of pulpwood in that geography. But it's an issue. It's an issue for the industry. I think it's going to be challenging. We do have some ideas. And frankly, we're going to lay some of those out at our Investor Day. So I'm not going to front run that, but it's an issue. I would say, though, for us, on balance, fiber demand has been pretty steady lately. You see a few dips here and there on pricing, at least temporarily when you see a mill close down. But I think we're doing a pretty good job overall in navigating that...
Ketan Mamtora: Got it. No, that's helpful. And then Switching here to sort of capital allocation. Obviously, a lot of discussion here on the call around both acquisitions and divestitures in timberlands. I'm curious on the downstream side, given how extended the downturn has been in lumber, would that be sort of an area of interest from an inorganic growth standpoint for Weyerhaeuser?
David Wold: Yes. Look, Ketan, we're -- we've had a focused M&A strategy. I think you've seen us be really active on the timberland side over the last several years with the portfolio improvement opportunities. But we're always evaluating and looking at opportunities for bolt-on as well as potential larger scale M&A opportunities. But of course, as always, they've got to meet our stringent criteria. We are focused on making sure that the assets are complementary or accretive to our industry-leading portfolio. They've got to be cohesive with our longer-term strategy and drive significant value for our shareholders. So that's really how we think about it.
Operator: Our next question comes from Hamir Patel with CIBC.
Hamir Patel: David, I was just wondering how you think about the opportunity to grow Southern pine log exports. I know China has cut off, but what sort of opportunity do you see in India over time?
Devin Stockfish: Yes. I mean we're really excited about the opportunity. Obviously, we would prefer that the China market get opened back up, and I can tell you we're having conversations with the administration about that topic on an ongoing basis. But in the interim, I do think the silver lining behind the China log ban has been it's really increased our focus on India. And I do think that there's a pretty significant opportunity there. We've been growing our India export business as well as, frankly, trying some additional markets in Southeast Asia. Again, we're going to go into a lot more detail about that opportunity at our Investor Day, but I would just leave you with I think it's a real opportunity for us. We have been growing it, and we have some plans to grow it meaningfully from here.
Operator: Our next question comes from Matthew McKellar with RBC Capital Markets.
Matthew McKellar: Just two quick questions on Japan for me. First, should that inventory destocking phenomenon be relatively short-lived in your view, maybe a one quarter headwind? Or could that persist longer? And then second, you addressed demand conditions, but I was wondering if you could also provide some perspective on how supply has trended over the last quarter or so. Is there anything we should be thinking about around trends on the supply side, maybe around imports from Europe or elsewhere that maybe also contributed to this situation?
Devin Stockfish: Yes, happy to answer that. I do think it's going to be relatively short-lived. The issue -- without getting into too much detail, there was a regulatory change in Japan that impacted the timeline in getting permits for smaller houses and that created a real backlog in managing those permits. And so what you saw was a bit of a slowdown in the housing environment. We expect -- our customers expect that will resolve itself and things should normalize. I mean they have some headwinds from a demographic standpoint, of course. But that being said, our customers are really, really well positioned in that market. And candidly, notwithstanding some of the challenges that they have in Japan, the customer base that we have, the cost structure that they have, the mill investments that they're making, I'm as optimistic about the Japanese opportunity in the midterm as I have been in a while. So we think that, that will -- the headwind on consumption should resolve itself relatively soon. The big dynamic at play currently is just that relative cost position of our customers with our logs from the Northwest competing against European supply. In Europe, log costs in many of the key producing regions have been going up fairly dramatically, add in some other cost competitive dynamics at play. It's just a really challenging environment for European lumber coming in that market. And so our customers taking advantage of this and they're really looking to grow market share. And so like I say, I'm pretty optimistic about that opportunity over the medium term.
Operator: Our next question comes from Hongliang Zhang with JPMorgan.
Hong Zhang: I guess you've adjusted lumber production in response to the weakness in prices, but with OSB pricing where it is, would you potentially reduce production as well? I'm just asking relative to your guidance of comparable volumes in the fourth quarter.
Devin Stockfish: Yes. I mean, so OSB, just like lumber, it's something that we're going to continue to watch and monitor. We'll adjust as necessary. Most of the same considerations that I talked about earlier with respect to our decisions on lumber capacity are equally applicable. I will say, as we mentioned with lumber from a cost curve standpoint, we're in a pretty good spot. And so that certainly plays into our consideration there. But like lumber, we're going to continue to watch that, and we'll make adjustments if necessary.
Operator: Our final question is from Mike Roxland with Truist Securities.
Michael Roxland: One -- the first one I have is, Devin, you mentioned that there are some items that you consider as an integrated producer in terms of running lumber, that smaller nonintegrated producers don't have to consider. Any way to expand on what factors you're referencing?
Devin Stockfish: Yes. I mean, so there are a few things, right? So we can adjust log flow to our mills to make sure they're getting the optimal log mix to maximize profitability. You can take a little bit more risk on log supply because you know you have the full power of the timberlands business. If you have a rain event or a weather event and you start to lose inventory, you can flex that very quickly. I would say just in general, the planning on ultimate product mix coming out of the lumber mill when you work closely with your timberlands business, you can get that dialed in to make sure that you're optimizing the mix to maximize profitability. So there are a bunch of planning things that you can do when those two businesses are working together to really maximize profitability across market cycles. It's always important, but I would say particularly in the environment that we're in today where every dollar counts. And so our teams, as you can imagine, are working together every single day to make sure that we're maximizing the profitability across our portfolio.
David Wold: And Mike, I would just add, I mean, those are a lot of the things that we can do from a day-to-day operational perspective, but when you think medium term, longer term, some of the larger-scale strategic things we can do like putting a Timberstrand facility in a place that's very advantageous for our timberlands business. That's another huge advantage that we can drive with that integrated portfolio.
Michael Roxland: Got it. And in this one, I know we're running over here, but just one quick second question. In terms of Natural Climate Solutions, any concerns over the government cutting funding? I know you've spoken about this in past calls, but obviously, the government from the get-go has been aggressive with wind. From the outset, it's become more -- it seems to have become more aggressive on solar. So any concerns about government and maybe restricting federal funding for these types of projects.
Devin Stockfish: At a high level, I'm not particularly concerned about that. Certainly, some of the things that came out of the Big Beautiful Bill did impact, particularly on the renewables side. I do think for our partners, we align with more sophisticated larger partners who, to a large extent, saw this coming, and so their pipeline feels pretty good. So I don't think it's going to have any meaningful impact over the next several years. There may be an air pocket when you get towards the end of the decade on some of these renewable projects, but these are typically long term. And I would just say CCS with the 45Q tax incentive that did make it through the bill. And overall, even though the rhetoric certainly has changed in this current environment, behind closed doors, most big company management teams understand this is a long-term issue that they're going to have to address. And so I haven't really seen a meaningful drop-off in the level of interest in these solutions even in this current environment.
Operator: There are no further questions at this time. I'd like to turn the floor back over to Devin Stockfish for closing comments.
Devin Stockfish: All right. Well, thank you, everyone, for joining us today. Thank you for your interest in Weyerhaeuser, and we look forward to seeing you at our Investor Day in December. Take care.
Operator: This concludes today's conference. You may disconnect your lines at this time. And we thank you for your participation.